Operator: Good day, and welcome to Symantec's Third Quarter 2012 Earnings Conference Call. Today's call is being recorded. At this time, I would like to turn the conference over to Ms. Helyn Corcos, Vice President of Investor Relations. Please go ahead.
Helyn Corcos: Good afternoon, and thank you for joining our call to discuss fiscal third quarter 2012 financial results. With me today are Enrique Salem, Symantec's President and CEO; and James Beer, Symantec's Executive Vice President and CFO. In a moment, I will turn the call over to Enrique. He will discuss Symantec's execution during the quarter, then James will provide highlights of our financial result as well as discuss our guidance assumptions as outlined in the press release. This will be followed by a question-and-answer session. Today's call is being recorded and will be available for replay on Symantec's Investor Relations website. A copy of today's press release and supplemental financial information are posted on the website, and a copy of today's prepared remarks will be available on the website shortly after the call is completed. Before we begin, I'd like to remind you that we will review our financial results focusing on year-over-year constant currency growth rates unless otherwise stated. Net income, EPS and sequential growth rates are based on as reported results. For the December 2011 quarter, the actual weighted average exchange rate was $1.35 per euro and the end-of-period rate was $1.30 per euro compared to our guided rate of $1.37 per euro. For the December 2010 quarter, the actual weighted average rate was $1.35 per euro and the end-of-period rate was $1.33 per euro. We've included a summary of the year-over-year constant currency and actual growth rates in our press release table and in our supplemental information, which can be accessed on the website. Some of the information discussed on this call, including our projections regarding revenue, operating results, deferred revenue, cash flow from operations, amortization of acquisition-related intangibles and stock-based compensation for the coming quarter contain forward-looking statements. These statements involve risks and uncertainties that may cause actual results to differ materially from those set forth in those statements. Additional information concerning these risks and uncertainties can be found in the company's most recent periodic reports filed with the U.S. Securities and Exchange Commission. Symantec assumes no obligation to update any forward-looking statements. In addition to reporting financial results in accordance with Generally Accepted Accounting Principles, or GAAP, Symantec reports non-GAAP financial results. Investors are encouraged to review the reconciliation of these non-GAAP financial measures to the most directly comparable GAAP results, which can be found in the press release and on our website. And now I'd like to introduce our CEO, Mr. Enrique Salem.
Enrique T. Salem: Thank you, Helyn, and good afternoon, everyone. I'm pleased with the team's execution of our information-centric vision. In addition, our strategy to secure and manage information and identities on any device or platform is resonating well with enterprises and consumers globally. We continue to gain traction with our long-term growth initiatives in the areas of cloud, computing, mobile and virtualization. In the December 2011 quarter, we continued to build momentum as we delivered our sixth consecutive quarter of consistent execution. We generated better-than-expected revenue, earnings and deferred revenue results on a constant-currency basis. Our performance was driven by market share gains in Backup and strength in Enterprise Security, including DLP, Managed Security Services and Authentication. Now let's take a closer look at some of the highlights from the quarter. Following on the strength of last year's December quarter results, our focused sales execution coupled with robust demand for our industry-leading products drove strong performance across all products and regions. We continue to cross-sell the product portfolio with 41% of our December quarter deals over $1 million, including sales from both of our Enterprise product segments, up from 38% in the year ago period. Our Backup business continues to gain market share. Growth in this business was driven by our unique ability to provide integrated deduplication, backup and virtualization solutions in a variety of form factors. Our investments to create industry-leading appliances are paying off as our Appliance business continues to exceed our expectations. We have signed several large transactions with our NetBackup 5220 appliance, displacing established competitors. Our embedded V-Ray technology continues to differentiate us from the competition. Leading organizations such as FedEx and NBC Universal use NetBackup with V-Ray because of its ability to provide load-balanced, indexed and easily recoverable backups in both physical and virtual environments. To further extend our lead in Information Management, we are bringing together our on-premise and cloud-based backup, archiving, eDiscovery and data security solutions. Due to the explosion of electronically stored information, customers are demanding a unified way to proactively classify, retain and discover information while reducing risk and avoiding costs. With tightened integration of our leading archiving and eDiscovery products, we will better protect information, establish retention policies and streamline the eDiscovery process. Along with advanced technologies such as source and target deduplication our Backup Exec Appliance also includes critical system protection to protect the server from attacks. Our Enterprise Security business delivered strong double-digit results as we continue to extend our lead in Data Loss Prevention, Managed Security Services and Authentication. Competitor displacements drove ongoing stabilization in our Endpoint Security business. Customers are adopting SEP 12, 12.0, our best-in-class endpoint protection product, faster than previous versions, and it is already installed on more than 3 million endpoints. For the second year in a row, Symantec surpassed the other vendors, receiving the highest rating in both completeness of vision and ability to execute in the recent Gartner Magic Quadrant for endpoint protection platforms. Data Loss Prevention continued to outpace the market with double-digit growth driven by organizations needing to safeguard their intellectual property and prevent leakage of their critical data. Our Managed Security Services business closed its largest transaction ever with a global hospitality company, generating another quarter of strong double-digit growth. We're the only MSS provider that has received a top rating from Gartner in all 3 geographies. Trust Services and User Authentication had a great quarter as we continue to displace our competitors. We increased our lead in both the premium and value SSL segments as we grew our install base by double-digits for the sixth consecutive quarter. According to Netcraft, Symantec has more active extended validation SSL certificates in use across the web than all other certificate authorities combined. Our user authentication solution, known as VIP, had another record quarter driven by solid execution across all geographies. We extended VIP's product leadership by adding intelligent authentication, which includes advanced security technologies such as system device fingerprinting, user behavior monitoring and geolocation monitoring. Our storage and availability management business had a strong sales quarter driven by the successful release of Storage Foundation High Availability 6.0. Demand for centralized management across physical and virtual Linux, Windows and UNIX platforms was again a major driver of new sales. Today, Linux is the fastest-growing platform for our storage management software as an increasing number of customers are deploying Linux in their IT environments. We continue to partner with Red Hat and VMware to help customers migrate critical workloads into their private clouds. Our Consumer business generated its 13th consecutive quarter of year-over-year revenue growth, driven by our multichannel distribution strategy as well as our award-winning Norton products and services. Our 2012 Norton AntiVirus and Norton Internet Security have won 54 awards to date, more than double that of the top 2 competitors combined. The high quality and performance of our 2012 products have helped us sign a new multiyear agreement with Lenovo to include Norton Internet Security on their Think-branded personal computers. New products and services continue to drive growth for our consumer business. Our online backup business delivered double-digit revenue growth as we continue to expand our go-to-market initiatives. For household and small offices with mixed environments of PCs and Macs, NortonLive Ultimate Help Desk now supports Macs and provides customers with an easy-to-use support service. We continue to expand our partnerships with ISVs and ISPs, creating another channel for us to upsell our NortonLive solutions. Our cloud services business, known as Symantec.cloud, continue to deliver new value-added services, and we have broadened our distribution. During the quarter, a large public-sector customer in Europe with more than 450,000 users chose Symantec to build out their cloud services with improved security standards. We have also received positive feedback from customers and partners on our new Endpoint Protection and Backup Exec cloud-based solutions. In addition, our extended cloud portfolio -- in addition, we are extending our cloud portfolio with the acquisition of LiveOffice, a cloud-based archiving provider to offer customers a comprehensive information management solution delivered on-premise, in the cloud or as a hybrid solution. Now turning our attention to our mobile offerings. We continue to add new capabilities to our mobile device management solutions to secure and manage smartphones, tablet PCs and other mobile devices. To drive market share gains, we launched a set of services that help enterprises evaluate their mobile security needs and develop defenses against mobile threats and vulnerabilities. By leveraging Symantec's extensive knowledge base and technical expertise, customers can mitigate risks associated with mobile devices and mobile apps. We are also enhancing our mobile solutions for consumers. We announced new updates for Norton Mobile Security for the Android platform and the availability of our Norton Tablet Security. In addition to protecting against online threats, these offerings provide advanced antitheft capabilities to remotely lock and locate a lost or stolen device. Our Norton Mobile Security offering averaged 270,000 downloads per month, an increase of 50% from the previous quarter. We expanded our OEM partnership with LG to include Norton Mobile Security and Norton Tablet Security in their smartphones and their tablet devices. Consumers will also be able to download our Norton mobile solution from the Samsung App Store. Our ongoing focus on building device and platform-independent solutions as part of our Norton Everywhere initiative has positioned us well to protect consumers anywhere they go. In conclusion, I am pleased with the solid results we delivered in the past 6 quarters, and I expect the momentum to continue. We have laid the foundation for a continued growth in fiscal year 2013. And with that, I'll turn the call over to James for a detailed review of our financial results.
James Beer: Thank you, Enrique, and good afternoon. Our results were driven by growth across each of our primary business segments. Continued consistent execution drove record December quarter revenue and deferred revenue as well as double-digit earnings per share growth. GAAP revenue totaled $1.715 billion, an increase of 6% versus the December 2010 quarter. The U.S. dollar weakened by approximately 1% against the euro as compared to the year ago period. Overall, foreign currency movements positively impacted revenue growth by one percentage point, driving a reported revenue growth rate of 7%. At our guided rate of $1.37 per euro, revenue would have totaled approximately $1.721 billion, above our guided range. Year-to-date, revenue has grown 8% year-over-year. December quarter license revenue declined 1% year-over-year, while content subscription and maintenance revenue grew 8% year-over-year. Year-to-date, license revenue is up 2% and maintenance revenue is up 9% year-over-year. Subscription sales, which are made up of our consumer, authentication and cloud services businesses, accounted for 39% of total revenue, up from 37% in the year ago period. In total, subscription revenue grew 13% year-over-year. Our subscription offerings represent an increasingly significant portion of our new business growth but are not included in our license revenue line. Continued subscription growth, combined with strong maintenance renewals, increased the proportion of December quarter revenue that came off the balance sheet to 70%, up from 67% in the year ago quarter. Non-GAAP net income of $314 million grew 15% and resulted in fully diluted non-GAAP earnings per share of $0.42, up 20% from the December 2010 period. Year-to-date, EPS has grown 16% year-over-year. The Consumer business generated December quarter revenue of $525 million, up 5% year-over-year, and benefited from our continued success in selling new products and services to consumers. These new offerings grew 78% year-over-year and accounted for 2 percentage points of revenue growth for the Consumer business in the December quarter. OEM placement fees were lower than we had originally forecast by $10 million, as our OEM partners shipped fewer PCs than expected. Turning now to the Enterprise business. Solid sales execution continued again this quarter with large transaction counts hitting all-time highs. We generated a total of 674 transactions valued at more than $300,000 each, up 24% year-over-year, and 135 transactions valued at more than $1 million each, up 14% year-over-year. Of our deals valued at more than $300,000, 78% included multiple products. The Security and Compliance segment generated record revenue of $511 million, up 17% year-over-year. The successful release of SEP 12 drove another quarter of growth in our Endpoint Security business, while Data Loss Prevention and Managed Security Services continued to gain share, resulting in double-digit growth. The Storage and Server Management segment generated revenue of $617 million, an increase of 3% as compared to the December 2010 quarter. Revenue from the Information Management business, which includes our backup, archiving and eDiscovery offerings, increased 10% year-over-year, driven by our differentiated deduplication and virtual machine protection features. We realized $14 million in revenue from our Clearwell acquisition, in line with our previously provided guidance for the quarter. Revenue from the Storage and Availability Management business was down 10% for the quarter and down 5% year-to-date, in line with our expectations. As Enrique mentioned, we're encouraged that our customers continue to acknowledge the strength of our products, as evidenced by our Storage Management business generating strong bookings during the December quarter. Our Services business generated revenue of $62 million, down 12% year-over-year but flat sequentially, as we continued to transition our consulting practice to specialized partners. Turning now to total company margins. Non-GAAP gross margin was 85.7% for the December 2011 quarter, up 40 basis points from the year ago period, reflecting the transition of our consulting services to specialized partners. However, offsetting increases in cost of goods spending were driven by the success of our Appliance business, which we expect to continue going forward. Non-GAAP operating margin was 26.2%, up 220 basis points compared to the December 2010 quarter driven by ongoing expense management, improved operating leverage through revenue growth and lower-than-expected OEM fees. Cash flow from operating activities for the December quarter totaled $403 million. We have generated operating cash flow of $1.214 billion year-to-date, an increase of 10% year-over-year. We exited the December quarter with $2.38 billion in cash, cash equivalents and short-term investments. During the quarter, we utilized $220 million to repurchase 13 million of our shares at an average price of $16.69. 30% of our cash balance was onshore as we exited the December quarter. We remain confident in the strength of our cash flow generation and maintain our commitment to returning value to our shareholders. With this goal in mind, our Board of Directors has approved a new $1 billion share repurchase program. GAAP deferred revenue at the end of December 2011 was $3.67 billion, up 8% year-over-year. In the month of December, the dollar appreciated 3% against the euro, negatively impacting our reported end-of-quarter deferred revenue balance. At our guided rate of $1.37 per euro, deferred revenue would have totaled approximately $3.716 billion, above our guided range. Now I'd like to spend a few minutes discussing our guidance for the March 2012 quarter. We are assuming an exchange rate of $1.30 per euro versus the weighted average rate of $1.37 and the end-of-period rate of $1.41 per euro in the March 2011 quarter. Our $1.30-per-euro assumption reflects a 5% decrease from our weighted average rate of $1.37 for the March 2011 quarter. As a result, foreign currency movements would decrease estimates both sequentially and year-over-year. Our guidance assumes an effective tax rate of 27.5% and a common stock equivalence total for the quarter of approximately 735 million shares. For the March 2012 quarter, we expect GAAP revenue to be in the range of $1.72 billion to $1.73 billion, as compared to revenue of $1.673 billion during the March 2011 quarter. We expect year-over-year revenue to be up 2.8% to 3.4% on an as-reported basis and 4.9% to 5.5% in constant currency. Approximately 69%, or $1.2 billion, of our March quarter revenue is estimated to come from the balance sheet. The Clearwell business is expected to contribute between $15 million and $17 million to our March quarter revenue. GAAP earnings per share are estimated to be between $0.23 and $0.24 as compared to $0.22 in the year ago period. Non-GAAP earnings per share are estimated to be between $0.41 and $0.42 as compared to $0.38 in the year ago period, up 8% to 10% on an as-reported basis. GAAP deferred revenue is estimated to be between $3.915 billion and $3.935 billion compared to $3.82 billion at the end of March 2011. We are expecting deferred revenue to be up 2.5% to 3.0% on an as-reported basis and 4.8% to 5.3% in constant currency. In conclusion, we are pleased with our operational execution and the solid financial performance across the business. We will continue to focus on carefully managing our expenses while driving long-term growth. And now I'll turn it back over to Helyn so that we can start taking some of your questions.
Helyn Corcos: Thank you, James. Gwen, will you please begin polling for questions?
Operator: [Operator Instructions]
Helyn Corcos: While the operator is polling for questions, I'd like to update you on a few upcoming events. We will be presenting at the Stifel Conference on February 7 and at the Morgan Stanley Conference on February 29. We will be reporting our fiscal fourth quarter results on May 2. In addition, please save the date for our Vision User Conference on May 8 and 9 in Las Vegas and our Financial Analysts Day on May 24 in San Francisco. More information regarding registration for these events will be distributed later in the quarter. For a complete list of all of our investor-related events, please visit our Events calendar on the IR website. Gwen, we're ready for our first question.
Operator: We'll take our first question from Brad Zelnick with Macquarie.
Brad A. Zelnick: Enrique, your strong large-deal metrics would suggest Symantec is becoming increasingly strategic to customers. And as we enter a new calendar year, I'd imagine you have close discussions with CIOs at some of the world's largest organizations. So I'm hoping, can you comment on how you think budgets for security and storage are shaping up in 2012?
Enrique T. Salem: When you look at the underlying trends that drive that demand, storage continues to grow at a very rapid rate. This morning, we started to do some of the work around our NetBackup and Backup Exec launch. And in some of the comments that I made this morning, Brad, we talked about growth in storage being forecast for this year close to 50%, I think I said about 48% for the year. And when you look at that growth in storage, there continues to be demand for our solutions that help customers deduplicate, better manage that whole backup environment. When you look at the current demand for our backup appliances, that continues to be robust, given that growth in information. On the other side, some of the comments I made around the strength in DLP, Managed Security Services, it's clear that people need help thinking about how do they protect their information. So even as we look at all the different news about the economy and unemployment rates and so forth, there continues to be good demand for the range of our portfolio. And my expectation is that, given what I'm seeing, is that we'll continue into this year.
Brad A. Zelnick: And, Enrique, just diving into Europe.  Flat this quarter, down from growing 2% last quarter. And I think last quarter you had said that you had achieved your internal plan, and I took that to mean on a bookings basis. I know Mediterranean regions were weak last quarter, but can you maybe just give us more insight to what's happening in the region and maybe even from a bookings perspective what you're seeing there?
Enrique T. Salem: Absolutely. So we saw strong bookings across all 5 regions in Europe. We did see a little bit of weakness in a couple of Mediterranean countries. But in general, across all of the regions, bookings were strong. I was actually, to be honest, pleasantly surprised with the strength that we saw across Europe on a bookings basis.
Operator: And we'll go next to Aaron Schwartz with Jefferies.
Aaron Schwartz: Enrique, you've talked about a number of Enterprise product releases that are starting to ripen here. As you think about those moving into your fiscal '13, how do you think about the balance between the license and the subscription growth? Do you expect that sort of balance to change at all as you focus on some new product cycles?
Enrique T. Salem: What you see happening in our business is that we're starting to get a lot more of our .cloud businesses growing at a faster rate than our on-premise offering. So when you look at .cloud, our VeriSign business, we definitely -- our MSS business, we continue to see real good growth in the subscription side of the business. Now with the new releases, of course, that will drive some new license growth. But my expectation as we look forward in this business is that subscriptions are actually going to grow faster than licenses, just given the mix and the move in the marketplace.
Aaron Schwartz: Okay. And if I could just sneak a quick follow-up here, probably for James. But it looks like that the currency is going to have about a $35 million headwind here in the March quarter if I did my math right. Do you have an equivalent impact to the earnings side?
James Beer: In terms of EPS, I would expect that we'd be seeing a headwind somewhere of the order of $0.02 to $0.03, in that trajectory.
Operator: And we'll go next John DiFucci with JPMorgan.
John S. DiFucci: Enrique, it looks like the Corporate Security business was really strong this quarter, but when I look -- I'm going to follow up to Brad's question on the storage. Because when you back out sort of the Clearwell stuff, it looks like storage was flattish again. And we saw some discontinuity from that business for several quarters, and then we saw some meaningful -- some strength for a couple of quarters, and in the last few, it's just sort of been flattish again, even with what you talk about sounds like a pretty exciting market. So if you help explain that and help to explain why we shouldn't be seeing a little bit more growth out of that on an organic basis.
Enrique T. Salem: When you look at the Core Storage Management business, what we saw in the quarter was strong bookings performance. And as you know, that takes time to roll into the P&L, into revenue. And so my expectation is that we are continuing to see improvements over the last 3 or 4 quarters in that business. I look at what's happening on the non-Solaris platforms. For example, on Red Hat and Linux, we definitely are seeing good demand for our products, and we're working very closely with both Red Hat and with VMware on how do we continue to extend the Storage Management business onto those platforms to increase our overall penetration. And I see that is a trend that's going to continue as we look forward.
John S. DiFucci: So is it the Solaris business? I mean, because for a while there, it looks like Oracle was spending a lot more time and probably money on marketing their high-end Storage business or the Sun high-end Storage business. But it looked like maybe it was helping a little bit, but is that sort of falling a little bit by the wayside at this point?
Enrique T. Salem: What you see happening in the Solaris business is it's becoming a smaller percentage of our total business as the other platforms continue to grow. The moves towards the non-Solaris platforms is definitely, as a total percentage, just increasing every quarter for probably the last 8 quarters, if not longer, and I expect that trend to continue. And we've got a number of initiatives that should continue to accelerate that trend. So it's more that the percentage or mix of our business is changing away from Solaris. And definitely, this -- Solaris is not a growth platform for us.
John S. DiFucci: And I'm sorry, just one quick follow-up, because you said the bookings were strong, and that's good to hear. And, yes, we understand that oftentimes it's recognized ratably, but that's usually the maintenance. Is there something else going on, too, where you're just selling capacity deals and you're recognizing that over time versus like a licensed component upfront?
James Beer: No, nothing changing in terms of the types of deal constructs that we're entering into around storage management.
Operator: And we'll go next to Adam Holt with Morgan Stanley.
Keith Weiss: This is actually Keith Weiss sitting in for Adam Holt. I was wondering if you can talk about margins for a little bit. Maybe start with your gross margin line. It sounds like a lot of the fast-growing growth initiatives are stuff like the Appliance business, the Managed Services business, .cloud, areas that perhaps are at lower gross margins than some of your more traditional businesses. How should we think about that gross margin line on a going-forward basis and as these elements start to really take off within your P&L?
James Beer: Yes. Well, as I've mentioned in my prepared remarks, in the December quarter, the year-over-year benefit of the gross margin line percentage-wise is being driven by the fact that we have fewer consulting services activities this period, December, versus the year ago period. Now we're starting to get towards lapping that type of an effect. And so that will start to mitigate as a driver of gross margin in the coming quarters. Now going in the other direction, we've talked about the success of our Appliances business.  As we continue to ramp up the scale of that business, then that will tend to lower gross margins somewhat. So I think we'll probably be expecting to see a reversal of the gross margin trajectory driven by the success of the appliances.
Keith Weiss: And what impact will the services businesses have on that? Are those going to be an overall margin drag like the .cloud businesses and the managed services business?
James Beer: Well, at the operating line, the operating margin line, what we talked about back at Analyst Day now is that, as we continue to grow, scale these higher-growth, currently smaller businesses like MSS, hosted service offerings, then, yes, that will have something of an impact on margins. But obviously, we're very pleased as to the progress we've made in developing those businesses. We see a lot more growth opportunity in them coming down the track in the next few years. And so as we scale them, then their margin contribution will improve.
Keith Weiss: Got it. And then maybe if I could get one follow-up in just on operating margins, particularly the impact from the consumer margins. You've seen some nice year-on-year improvements in consumer margins. You were talking about on the call earlier how weaker PC shipments had positively impacted or reduced your OEM fees. Going forward as we look into maybe past Q4 and going into the back half of 2012, some people, including ourselves, are expecting Windows 8 to come out. You have the possibility of the PC shipping cycle ramping back up. How should we be thinking about consumer margins and the impact on overall operating margins as we start to look out a quarter or 2 in a potentially better PC shipping environment?
James Beer: Well, in terms of the December quarter, we saw OEM fees down around $8 million year-over-year, so that's driving about 0.5 point of margin at the operating line. And I would expect directionally that type of an effect in the March quarter. Now beyond that, obviously hard to say exactly how PC unit shipments are going to respond to the various market forces that you're referring to in your question. But that's what we see for the immediate term.
Operator: And we'll go next to Walter Pritchard with Citi.
Walter H. Pritchard: Just wondering, Enrique, if you could talk on the backup side. You have a couple things going on there. You have the new appliances. It's my understanding that your NetBackup business sort of -- or your Backup Exec business sort of runs with server unit shipments, which have been weakening. And you also mentioned share gains in that market, which the overall growth rate in that business wouldn't necessarily point to share gains. I'm wondering if you could just help kind of pick apart the drivers there and help us understand what's the headwind and what's the tailwind for you in that business.
Enrique T. Salem: When we look at the opportunity, it absolutely is focused on people rearchitecting how they do data protection. The volumes of data that are out there right now and the growth rate is not allowing people to successfully complete backup of all the critical data in a traditional way. So what they're having to do is drive rearchitecture, which is saying they have to use new technologies, such as deduplication. The second aspect that's driving it is, as they move to more virtualized servers, you're also seeing a need to use updated or new technologies that are more efficient at backing up a virtualized server. So you've got a rearchitecture going on in data protection. The other thing that's happening is, because data and information is so critical in so many different processes, you're also seeing people having the need to keep some of that data more accessible or online using technologies like archiving. And then lastly, because of the legal issues around the discovery process, you're seeing them have to add new techniques and methodologies around the discovery process. And by the way, this is being done now both on-premise and in the cloud. So you look at that, and what you've got is a real rearchitecture of how you think about data protection, Information Management and so forth, so that rearchitecture really creates, in my opinion, a tailwind for us as they think through how do they get ahead of this problem. When you think about the other side of it, obviously, what we do every day is we have to continue to drive innovation. And so a number of the new capabilities that we're delivering into the marketplace with the new Backup launch are that improved support for virtual environments, improved deduplication rates, doing deduplication everywhere, from the client to the data center. And so there's a lot of opportunity for innovation in that market, and so we're continuing to do that. The only thing that I think about is over time, and we've talked about this, is we are going to move to more appliances. Our Appliance business keeps doing very well, and that will put a little bit of pressure on our margins. And so it's just a different cost structure than an enterprise software license. But from a market health, from a competitive perspective on the capabilities that we have, I feel very good about that. And then the only thing, the only headwind that I'm worried about right now is really the -- with the pressure on the margins.
Walter H. Pritchard: And then just on the PCs, on the consumer side, you mentioned the OEM fees down.  Just trying to get a sense, is your new business in the consumer space growing? I understand you guys have always been a great company at driving the installed base to higher-priced products and so forth and selling them services and so forth. But on the new business, is that a growth business right now? Or is the PC headwind just too big of a headwind to make that -- to allow that consumer business to attract more new business?
James Beer: Yes, I'd say that component of the consumer business is pretty close to the flat line.
Walter H. Pritchard: Okay, but flat new business is roughly what you're seeing?
James Beer: Yes, that's right.
Enrique T. Salem: And so the benefit that we're seeing, as you touched on it, is because of our ability to better target customers and with our new e-commerce platform and then also adding the new Services set, products like Online Backup, products like Ultimate Help Desk, they are absolutely being used and adopted. And that drove 2 percentage points of growth in consumer in the last quarter. And we -- as I look forward and I look to the next year and the following year, I expect that those new services will continue to drive an increasing percentage of the growth of that business.
Operator: And we'll take our next question from Philip Winslow with Crédit Suisse.
Philip Winslow: Enrique, I just want to dig into just the go-to-market side here. Just want to get a sense of how you feel about just a direct sales productivity but also just a word of where you guys stand in terms of just channels, partnerships and if there's anything we should look at going forward to improve that. And then also just along the lines, obviously, there's been a lot of focus on this call just on OEM fees and cost of service. But when you think about driving leverage long term in this model, where should, call it the OpEx as a percentage of revenue come down the most? Is it in sales as productivity improves? R&D? G&A? How should we think about that?
Enrique T. Salem: Sure. Let's start with the first part. When we look at the sales force and sales productivity, I'm very pleased with the progress we're making across the Enterprise segments. When I look at the large deal productivity, the metric -- I think James gave 135 deals over $1 million. When I look at the cross-selling, where 41% of the deals include products from both our security business and our Storage and Server Management business, we absolutely are being able to articulate a vision that says to customers the range of our products can help you deal with your information growth and information security problems. And so sales force productivity has continued to improve over the last 3 years. At the last Analyst Day, Bill Robbins talked about some metrics around expense to bookings, expense to billings, and my expectation is that, that metric should continue to improve, not just this year, but again next year. And I expect that to continue the year after that. And so as you know, we've been working over, I would say, probably the last 5 years to continue to improve that metric, and I expect it to continue. So now, coming into your second part of your question, some of the improvements in expansion and margin will come from continued improvements in sales, but I actually believe we'll see improvements across all parts of the business. I think there's improvements in every line of the P&L, and that gives me great confidence that over the next several years, we'll continue to be able to drive margin improvement each year. Obviously, I want to make sure that some of the improvement comes from top line growth, but we're absolutely going to drive better cost management, cost containment, which we've been doing over the last several years, and I expect that to continue.
Operator: We'll take our next question from Brent Thill with UBS.
Brent Thill: Enrique, the number of deals over $300,000 has accelerated every quarter as a growth rate. And I'm just curious, are you seeing longer-term Enterprise agreements getting signed where, to your point, they're staying in [ph] 41% from both sides? But are you now locking customers up for longer periods and therefore giving you much better revenue visibility going forward as well?
Enrique T. Salem: Brent, I haven't seen a change in the length of the contracts that we're signing. I think it stayed pretty consistent over the last several quarters. What you are seeing, as we increase the deals at all of the metrics, we gave $300,000 and $1 million, is you are seeing us be able to bring more of the portfolio into each of those agreements. And my expectation, now that we've brought in technologies like Clearwell and LiveOffice, for example, when we are selling a backup solution or an archiving solution, my expectation is that we'll actually be able to sell a much broader set of capabilities. And so that would put upward pressure on our deal size.  Because instead of just buying Archiving, we're going to show you a compelling reason why you should buy our Archiving and our Discovery. And now we've got the market-leading Discovery technology that makes it a easier or a better discussion. And as we further integrate eDiscovery with archiving and backup, I expect that will just make it even better from a large-deal metric perspective.
Brent Thill: Enrique, if you could just bring us up to speed on the storage market, just the competitive dynamics you're seeing in some of these new technologies that are coming to market, how that's changing your approach.
Enrique T. Salem: Brent, when you think about storage, are you thinking the Storage and Availability Management or the Backup side? How do you...
Brent Thill: Storage.
Enrique T. Salem: Okay, what we're seeing in Storage is the continued move to virtualization and the continued move to people looking at the Linux platform and moving mission-critical workloads onto the Linux platform. So our expectation is, as we bring some of the new technologies that do high availability on a virtualized environment, like our AppHA, that will continue to gain traction in the marketplace. When they move to non-Solaris platforms, what's happening is they're still relying on us for the robust and the high availability. And so I expect that, that will continue. As far as new technologies, we're at the forefront of file system performance, at the forefront of clustering technologies. We're showing people right now how they can more effectively build their private clouds using our technology. I was just in our Executive briefing center yesterday, and one of the things that's resonating very well with customers is we're saying, "Look, use the existing infrastructure you have, your storage infrastructure, your computing infrastructure more effectively." When you're trying to build that private cloud, what you're really trying to do is get better utilization of all of your IT resources, not just your hardware assets, but also your people assets. And so using our technologies, we're able to show customers how we use the file system and clustering technologies to build out that private cloud in a highly scalable, highly cost-effective way. And so we absolutely believe that we're positioning ourselves well as people try to build out their private cloud infrastructure.
Operator: We'll go next to Jonathan Ho with William Blair.
Jonathan Ho: Just starting out with the DLP business, can you give us a little bit more color on how that performed this quarter and maybe where you see the opportunity for that to grow as a portion of the business over time?
Enrique T. Salem: Yes. What we see is that the DLP business has been a catalyst for building our relationship with the CISOs. If you look at the product portfolio, products like control compliance were also helping us there. But DLP has changed the relationship that we have with the CISO, because that information that they get from their DLP product is being shared broadly with the minds of business leaders so that they understand the risks and the exposure that a business has. So my expectation is that DLP will be used broadly across the enterprise, and it will also start moving below what I would call the Large Enterprise segment into the Enterprise segment and, potentially, the higher end of the mid-market. The other thing that we're doing with DLP this quarter is we're delivering our DLP for tablets, which has been in very high demand because people are using more. I think you saw yesterday in iPad numbers where I think there were 15 million iPads sold in the December quarter, and a number of those iPads end up in the enterprise. And so customers are absolutely looking forward to the ability to use our DLP technology on their tablet devices. As far as the other part of your question, James, do you want to talk about the...
James Beer: Well, in terms of revenue growth, DLP had another good double-digit year-over-year growth quarter.
Jonathan Ho: Fantastic. Just talking a little bit about the Clearwell acquisition and integration efforts with your existing solutions, are you seeing more demand for these suite-based solutions? And is there anybody else out there that can potentially offer something competitive? Or do you think this is a real opportunity for you guys to offer a solution-based approach to really dominate the segment?
Enrique T. Salem: What customers tell me all the time is they don't want to be systems integrators. They want Symantec to deliver integrated solutions. And the more we can build the complete offering in data protection, the more interest and demand we get. And that's why we're seeing such good performance from our Appliance business, because customer previously were buying the backup software, they were buying deduplication hardware and they were buying the media server, all separately. What we're able to do with our 5240 appliances is integrate all of that. So then when you extend it to the other components of our data protection suite, our goal is to continue to bring in the other components. We absolutely have differentiated technology date [ph]. Clearwell is the market leader in eDiscovery; LiveOffice, best-in-class, hosted archiving technology; NetBackup, market leader in backup software. We put all that together in one integrated solution, I think you're absolutely right, that should start distancing us from the competition, because no one has the market-leading, best-of-breed technologies in the different areas that I've described. And so I'm very bullish on the prospects for all of our data protection capabilities. And as we further integrate them, I think that business will continue to perform very well for us.
Operator: And we'll go next to Robert Breza with RBC Capital Markets.
Robert P. Breza: Enrique, just as you look at the consumer business and obviously the consumer PC shipment numbers that are out there, obviously, it looks like there's another quarter or 2 as we try to rebuild the inventory. Can you talk to us how you see the kind of the next 6 to 9 months performing in the consumer business and how we should think about that trending?
Enrique T. Salem: Obviously, we're keeping an eye on what's happening with the supply chain in the PC marketplace, which is just another headwind in the overall PC growth rate. I absolutely don't expect any kind of turnaround in PC shipments until we get through probably to the Windows 8 launch. And what we're always doing, then, is saying how do we continue to build our business so that it's less dependent on the numbers of PC units that are being shipped? And that's been something that's not a new process for Symantec. It's something that we've been working on for some time. And so we continue to add new services. We're reviewing proposals for some of the new capabilities. I commented that we're seeing more and more downloads of our Norton Mobile Security for Android. And so my expectation is that the core PC software side is going to benefit for our ability to cross-sell other components of our portfolio, upsell to the higher price points. But I don't expect that -- as James commented on a previous question, I don't expect to see an uptick in PC units, and so new customer acquisition will be relatively stable. I expect the opportunity to be in these other services as we go beyond the PC. So my expectation is we'll continue to track the consumer business, definitely a headwind in PCs, definitely a headwind on the -- in the -- going beyond the PC and a headwind because of the supply chain.  But I think we just need to continue to build our business around some of the other new services that the consumer businesses continue to add.
Robert P. Breza: Maybe as a follow-up for James. James, could you help us out a little bit on the tax rate further out? I know you mentioned for next quarter, 27.5%. I think more or less, the street's a little bit higher from a tax rate perspective as we look out. I mean, do you think that tax rates stay stable around the 27.5%? Or do you think it will be ticking up going forward?
James Beer: Well, directionally, we think of the tax rate at around 28%, a little bit north of that. And then there are obviously different onetime items that tend to come up each quarter that land us on the published rate along with each quarterly set of results. So I wouldn't expect any change from that sort of 28%, 28.5% type base rate, if you will.
Operator: We will go next to Steve Ashley with Robert W. Baird.
Chaitanya Yaramada: This is Chaitanya Yaramada sitting in for Steve Ashley. So the SEP 12 looks to have been a successful launch. Could you provide some color maybe around the actual revenue or bookings growth during the quarter? And how much of the business is tied to Enterprise? Was this mid and small business? And any color on the uptake? And maybe any difference in the uptake of the product in each of the segments would be helpful.
Enrique T. Salem: You're absolutely right on how well SEP is doing. I mean, 3 million people have already installed it. It's the best adoption we've seen. The team, quite frankly, hit the ball out of the park with the quality of this release, and so I couldn't be happier. And the feedback I've reported over the last several quarters initially came from our partners, and now it's coming from customers, where that product is absolutely the best-in-class anti-malware protection product on the market. So our team did a great job there. What we're also seeing, though, is, and I've commented that given the work to integrate McAfee into Intel, we're also seeing opportunity to displace and gain share across segments against McAfee. And so we're feeling very encouraged by that. I don't know that we -- we don't break out the Endpoint Security business revenue, but what I am seeing is very good improvement in that business where it was flat to declining previously. And we're definitely seeing a more stability and growth in that business as a result of the last couple of quarters. And so I expect that to continue, and I'm confident that the new product is really the best product on the market.
James Beer: Just one other fact in service of the adoption of SEP 12. This time a quarter ago, we had 1.3 million installations. As Enrique says, now we're over 3 million. So it's a fast acceleration rate.
Chaitanya Yaramada: And any comments on the take-up in the SMB market?
Enrique T. Salem: We definitely see opportunity there. As you know, we created a new group focused on this segment. We are driving a number of new initiatives. One of the most encouraging components of that segment is not just the on premise, but the opportunity with our Symantec Endpoint Protection .cloud business where we're seeing it easier for customers to use that product in that segment. And so my expectation is we're going to continue to see improvements over the next several quarters on a bookings basis in the SMB segment. The focus, the product and the flexibility that we offer with .cloud I think is going to bode well for that business.
Operator: And we'll go next to Shaul Eyal with Oppenheimer & Co.
Shaul Eyal: Enrique, sticking on -- you just mentioned McAfee and some market share dynamics. Can you expand a little bit about what's happening on the consumer front.  Potentially some new commerce could be making it to the public markets soon. What's happening on that front? Any change?
Enrique T. Salem: Shaul, say the last part of your question, any change with the public market...
Shaul Eyal: With -- kind of with market dynamics on the consumer front.
Enrique T. Salem: Yes. I would tell you that what we see is, our core business and the new products, again, this is something we'd -- as we drive the consistency in execution, what we're seeing is better products and better sales execution. And ultimately, I am convinced that our Norton products, the 2012 products, are the absolute best products on the market. So what that does is that starts having a positive effect not only on how do we bring customers in, but also on keeping customers happy. And we look at the metrics from what we call our customer loyalty or Net Promoter Score, and that business continues to lead the pack as far as the best customer loyalty. Now you are seeing the continued move at the lower end of the market to what we call the freemium, from freemium vendors. And they continue to be out there. I would tell you that, as I look at data that we have available, some of those vendors are struggling with some of their monetization models, and I expect that they're going to continue to struggle going forward, because their business model is going to get challenged as they try to upsell to some of the services, because we've got a better market position with better services, and I'm convinced that we'll be able to effectively compete with anybody who is offering a freemium product. As you know, there's probably a couple of them that are going to try to go public, and it will be interesting to see.  As they disclose how they're generating revenue, and some of them already have, I think it will become pretty clear that there's going to be some headwinds that they're going to face going forward, and I think we're going to be a driver of some of those headwinds.
Shaul Eyal: James, quickly on the cash flow, healthy at $403 million, but I think kind of slightly below what the street was expecting. Is that kind of timing -- that's a timing reason?
James Beer: Yes. Obviously, cash flow tends to be more volatile between one period or another. The last few quarters, we've been comfortably ahead. And so that's just particularly why I reemphasize year-to-date cash flow from operations having grown 10%.
Helyn Corcos: Gwen, that was -- I think that's all the time we have at this point.
Operator: Thank you. That concludes our question-and-answer session. I would now like to turn the call back to Enrique Salem for closing remarks.
Enrique T. Salem: Well, I'm pleased with our team's execution and solid results for the sixth consecutive quarter. Thank you for joining us this afternoon, and I definitely look forward to speaking with you again soon.
Operator: Thank you, everyone. That does conclude today's conference. We thank you for your participation.